Jeff Markowitz: Good morning and thank you for joining us for a presentation of Freddie Mac's Fourth Quarter and Full Year 2021 Financial Results. I'm Jeff Markowitz, Deputy CAO and SVP of External Relations and Corporate Communications. We're joined today by our CEO, Michael DeVito and by our CFO, Chris Lown. Before we begin, we'd like to point out that during the call Mr. DeVito and Mr. Lown may make forward-looking statements based on assumptions about the company's key business drivers and other factors. Changes in these factors could cause the company's actual results to materially vary from its expectations. A description of those factors can be found in the company's quarterly report on Form 10-K filed today. You will find the 10-K earnings press release and related materials posted on the Investor Relations section of freddiemac.com. This call is recorded and a replay will soon be available on freddiemac.com. We ask that the call not be rebroadcast or transcribed. With that, I'll turn the call over to Freddie Mac's CEO, Michael DeVito.
Michael DeVito: Good morning, and thank you for joining us to review another strong year for Freddie Mac. Today, I will briefly highlight the progress we made on our strategic priorities in 2021 and offer some thoughts on what we expect in 2022. Then our CFO, Chris Lown will walk you through our financials. So let me begin with a quick recap of our progress last year. Freddie Mac's mission has long been understood as delivering liquidity, stability and affordability to the housing market. As I've noted in prior calls, we interpret that mission expansively to meet the country's broader housing needs in all economic environments. That work includes enhancing liquidity within the mortgage and capital markets, stabilizing the housing market and keeping families in their homes throughout the economic cycle. Working with an array of housing market participants to promote greater access to and supply of affordable and sustainable homes throughout the country, promoting greater equity in housing, helping lenders of all sizes better serve their communities, integrating environmental social and governance strategies into our business and operations. In short, our mission is to make home possible for millions of renters and borrowers across the nation. This is the overarching purpose of all our efforts and everything we do is in furtherance of it. Last year I set out three pillars that support our mission, delivering results, practicing risk management excellence and growing our talent. I'd like to take a moment to highlight some of the progress we've made with respect to each of those pillars over the last year. Let me first begin with the strong results we delivered in 2021. Chris Lown will go into more depth in a few minutes but the headline numbers are worth noting here. Freddie Mac earned net and comprehensive income of $12.1 billion and $11.6 billion, respectively in 2021. This significantly exceeded our very strong 2020 performance. Our earnings helped bring the company's total equity to $28 billion, 71% greater than our net worth at year-end 2020. I should also say a word about the importance of building capital and the integral relationship it has on our mission. Capital is essential both as to backstop for the risks we assume in supporting our mission and to signal safety and soundness to taxpayers, our partners and the financial markets. We remain undercapitalized and our path to a stronger capital position is through consistently solid financial performance. To achieve that performance, we must demonstrate relentless focus on all aspects of our business. Second, we practiced solid risk management in 2021. For example, our servicer outreach and loss mitigation efforts combined with improving economic conditions dramatically reduced delinquent loans in our portfolio. Our 2021 single-family series delinquency rate declined to 1.12% and our multifamily delinquency rate dropped to 0.08% at year-end, far below their respective pandemic peaks of 3.04% and 0.17%. And third, we are growing talent by building a strong leadership team and supporting a culture where individuals from all backgrounds who do things the right way can succeed. We often see this support materialize in awards and recognition. For example, the human rights campaign just named Freddie Mac, the Best Place to Work for LGBTQ plus equality and gave our company a perfect score on its corporate equality index. It was the 13th consecutive time we've earned the award since 2010.  As I said the purpose of everything we do is, ultimately to make home possible for owners and renters. Our earnings increased capital focus on risk management and committed teams serve this mission and the nation well in 2021. We helped nearly 5 million families buy refinance or rent a home last year. We financed nearly 1.4 million purchases including $554,000 for first-time homebuyers. We enabled 2.9 million households to lower their monthly mortgage payments or receive more favorable terms through refinancing. And of the 655,000 rental units we financed last year, 94% were affordable to renters earning 120% or less of area median income. We also continued our efforts to help families wrestling with the effects of the global pandemic remain in their homes. Last year 317,000 single-family borrowers received a forbearance deferral or other relief from a Freddie Mac servicer. Since the earliest days of the pandemic in 2020, approximately 858,000 homeowners have entered into a forbearance agreement with our servicers and we have helped more than 700,000 get back on their feet through the relief, I mentioned earlier. Multifamily borrowers and renters also benefited from Freddie Mac's pandemic forbearance programs. More than 136,000 renters in properties subject to a forbearance agreement received protection from eviction for nonpayment of rent over the course of the pandemic. Approximately 0.42% of loans in our multifamily portfolio remain in the COVID-19 related forbearance as of December 31, a marked decrease from 2.01% at the end of 2020. While we put our existing tools to work in support of our mission in 2021, we continue to develop new ones that help home buyers and renters access quality sustainable housing. In August we expanded our home renovation loan offering with CHOICEReno eXPress Mortgages, this single-family offering helps homebuyers and homeowners reduce their out-of-pocket costs be more affordable loan terms than using credit cards or unsecured financing, when making small-scale renovations. In November, our multifamily division created a program to help renters build credit by reporting on-time rent payments to the three credit bureaus. The early results are promising. By year-end 2021 more than 73,000 tenant households had been offered this program across 284 properties. So, far we've helped establish credit scores for more than 10,000 individuals who were previously credit-invisible. Participants with existing credit scores improved their scores by an average of 43 points. Looking ahead for the balance of 2022, we will continue to emphasize our strategic priorities and our renewed focus on mission. We're off to a good start. In January, we became subject to the regulatory capital reporting requirements in the enterprise regulatory capital framework with our first quarterly capital report due by May 30th. The framework which establishes risk-based and leverage capital minimums for Freddie Mac requires us to hold significantly more capital than we did under the former conservatorship capital framework. We have already announced a plan to further reduce our risk exposure with our biggest year ever for single-family credit risk transfer or CRT issuance. By the end of 2022, we expect to have issued at least $25 billion of our flagship stacker and ACIS offerings, a more than 30% increase over our record year in 2021. And finally, we're ramping up our sustainability efforts in 2022. We recently published our first annual sustainability report in accordance with the Sustainability Accounting Standards Board or SASB. The document provides data on Freddie Mac's business practices including metrics and activities related to equitable lending, flood risk, and diversity and hiring. The SASB report, together with our multifamily sustainability green and social bonds and recently produced single-family green bond framework, reflects Freddie Mac's ongoing environmental, social, and governance focus. Now, let's turn to our financial results with Chris Lown.
Chris Lown: Thanks Michael. For full year 2021, we reported net income of $12.1 billion, an increase of 65% from 2020. We also reported comprehensive income of $11.6 billion, an increase of 54% from 2020. Net revenues increased by 32% year-over-year to $22 billion, driven by a 38% increase in net interest income. The increase was primarily a result of 20% growth in the single-family mortgage portfolio and higher deferred fee income recognition due to faster loan prepayments as a result of low mortgage rates. Net investment gains increased roughly 50% or $900 million to $2.7 billion, primarily driven by higher margins on multifamily loan commitments and favorable spreads. Full year credit-related expense declined by $1.3 billion to $1 billion in 2021, which was mainly due to the release of pandemic-related provisions this year and benefit from a 16.8% increase in home prices in 2021. Freddie Mac's mortgage portfolio grew by 18% year-over-year to $3.2 trillion at end 2021. This increase was primarily driven by a 20% increase in our single-family mortgage portfolio and a 7% increase in our multifamily mortgage portfolio. Turning to the fourth quarter of 2021, we reported net income of $2.7 billion, down 6% from the fourth quarter last year and comprehensive income of $2.7 billion, up 8% from the same period last year. The decline in net income was primarily driven by a credit expense this quarter compared with the reserve release in the fourth quarter of 2020. Getting into more detail. Fourth quarter net revenues totaled $5.6 billion, an increase of 11% compared to $5 billion in the prior year quarter as a result of higher net interest income, partially offset by lower non-interest income. Net interest income increased by 30% year-over-year to $4.8 billion, mainly driven by higher net interest income in the single-family segment, which saw its mortgage portfolio grow by $466 billion. Non-interest income was down from the prior year quarter due to lower investment gains, mostly in the multifamily segment. Investment gains fell 39% due to lower volume of multifamily mortgage loan purchase and securitization activity, due to our $70 billion FHFA loan purchase cap and less favorable market spreads. Looking at the individual business lines, the single-family segment reported full year comprehensive income of $8.4 billion, up from $4.3 billion in the prior year. This was largely due to a 40% increase in net interest income mainly driven by an increase in guarantee fee income from growth in the single-family portfolio and a higher average portfolio guarantee fee rate of 46 basis points compared with 44 basis points in 2020. In terms of new business in 2021, we saw strong home purchase activity and moderating refinance activity versus 2020, the refi continued to make up the greatest share of loans. Total single-family new business activity increased by 12% to a record $1.2 trillion, reflecting a 32% increase in home purchase loans and a 3% increase in refinance loans. At the end of 2021, 53% of our single-family mortgage portfolio had some form of credit enhancement coverage, an increase of three percentage points from 2020. Moving to multifamily. The business reported comprehensive income of $3.2 billion for 2021, a slight decline year-over-year. Our multifamily mortgage portfolio grew 7% year-over-year to $415 billion in 2021. We saw new business activity declined by $13 billion from $83 billion in 2020 to the $70 billion regulatory cap in 2021. For 2022, FHFA increased its purchase cap for new business to $78 billion. Finally, our multifamily credit risk transfer issuances during the year covered $84 billion of multifamily UPB, increasing the credit enhancement coverage on the multifamily portfolio to 94% at the end of 2021 from 89% in 2020. In addition, approximately 69% of multifamily loans and forbearance are included in securitizations with first loss credit enhancement provided by subordination. Overall, we saw a strong performance from both our business lines that contributed substantially to our capital position which ended the year just north of $28 billion. And now I'll hand the call back to Michael. 
Michael DeVito: As I recently shared with our team, 2021 was a year I spent listening, learning and exploring the potential of a great organization. This included engaging with leadership, employees, customers and other stakeholders as they work to deliver extraordinary results for our housing finance market and economy. As we look to 2022, we at Freddie Mac are excited to get to work and take these efforts to the next level. Thank you for joining us today.
End of Q&A: